Operator: Good afternoon, and welcome to the Ilika plc investor presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. I'd now like to hand you over to Graeme Purdy, CEO. Good afternoon, sir.
Graeme Purdy: Good afternoon. Many thanks to everybody for taking the time to dial into Ilika's half year results presentation. So we're going to have a quick drop through the presentation, and apologies to those long-term followers of the company who know some of the back story here, but I will go over some of the basics just to make sure that for any new investors who are joining this presentation, they get the full picture. And then we'll go into a detailed overview of the principal milestones that the company has hit and things to look forward to in the coming period. And then, of course, we're going to tackle some of the interesting questions that are coming in. And I can see there's quite a collection of questions already. So I look forward to addressing those after we finish going through the slides. So let's crack on. First of all, for the avoidance of doubt, Ilika is a solid-state battery developer, and that's what we're going to be talking about over the coming hour or so. We're going to talk about the state of the market and the state of our technology to address that opportunity. We've got two product lines with different end markets in rapidly growing sectors in both cases. On the one hand, we've got our Stereax miniature solid-state batteries, which are primarily designed to power active implantable medical devices and also wireless industrial sensors, sometimes called IoT. And then on the other hand, we've got our large-format solid-state batteries, which have been developed for the automotive industry and also for cordless consumer appliances. We have an asset-light business model with these products proven on pilot line and up to gigafactory scale in the case of Goliath on equipment that's relevant to gigafactory deployment. We've got a long track record of R&D with 78 patents now in our portfolio that are granted and more applications coming through. So we're ready for commercialization. And we've also had a significant amount of capital invested in the company to date, not only via grant and commercial funding, but also equity investments to put us in a position to be able to deliver our commercial objectives. In terms of the status of the two product lines, on the one hand, Stereax has been licensed to a manufacturing partner already, a company called Cirtec Medical, headquartered in the U.S., and I'll come back to the state of that relationship during the presentation. And on the other hand, our Goliath product line has reached product prototyping stage. So first of all, a bit of a review of some of the key announcements from the first half of this year. Well, the year started well with a successful equity raise that provide us with a stable platform for running the business with contributions from both existing and new investors. So many thanks to those of you who participated in that placing an open offer. In terms of Stereax, we qualified the manufacturing process at Cirtec for our Stereax micro batteries. We then followed that up by commencing production for product testing and the initial deliveries to customers. Those batteries were then delivered to customers before the end of the year. That was a post half 1 event. Actually, you can see a box there of deliveries going to one of our customers, Lura Health, who were actually kind enough to be able to give us a supportive quote on the press release that we issued when that happened in December. And just yesterday, for those of you who follow our news flow on a regular basis, we were able to announce that we've received the first purchase order for the initial commercial batches of the cathode deliveries. So actually, that's the Stereax electrodes that we supply to Cirtec to be able to enable them to make larger volumes of product. So that's an early indicator that volumes of commercial products are starting to ramp. Focusing now on some of the Goliath milestones that we hit. We started the year with a validation of 2-amp-hour Goliath prototypes, which was really great. I'll come back to that in a moment. We secured some grant funding for Goliath industrial prototyping. And also, we've got key automotive support. We finished commissioning the automated pilot line that we've got at our facility, which is a real strengthening of our ability to make 10-amp-hour cells, 10-amp-hour batteries. And we initiated the shipping of those prototypes to customers as we had suggested we would in 2025. So here, you see an overview actually of some of those milestones. And then some insight into what to expect in terms of further commercial progress in 2026. So on the left-hand side, we've got Stereax milestones on the top in blue, and we've got Goliath milestones in green underneath that, and they go from left to right across this plot here. So on Stereax, in terms of following up on our initial delivery of product, the bit in the hashed green box, which covers this year now, 2026, you can see we started in style actually by delivering that first milestone. That's the one I've just been mentioning that we started just yesterday, actually, we announced receipt of the purchase order for those electrodes. The next stage really is going to be an announcement about integrating the Stereax product in the Cirtec power management offering. So one of the big advantages of working with Cirtec Medical is that they've got a number of different technology platforms that they offer to their OEM customers. And they're able to offer a full solution for neurostimulation and integrating our Stereax batteries into that really provides a powerful route to market for that particular component. And then, of course, later in the year, we can expect to announce some initial application design-ins. So this is where the end customers, so our customers and Cirtec customers, large companies and some of the technology developers that we're working with to, take that platform and perhaps just the Stereax components themselves and then design them into products that are taken to market. On Goliath, having shipped those 10-amp-hour prototypes at the end of 2025, of course, we're on tender hooks waiting for some of the feedback from third parties who are testing those prototypes using their own duty cycles and sometimes they are proprietary, and we don't get full insight into the test regimes that they get subjected to. And we will have conversations with those potential customers and talk about how we can convert those 10-amp-hour prototypes into the initial minimum viable products, which really are a samples in the context of the conversations we're having for the EV and automotive sector. And then we will use that as a springboard for securing a commercial scale-up partner or partners in the same way that we've done for Stereax with Cirtec. Just a reminder of our business model here. Ilika sits at the center of an asset-light licensing model where we demonstrate our product capabilities and our process on an industrially relevant pilot line. And actually, in the case of Goliath, we work closely together with the UK Battery Industrialization Centre or UKBIC, where they have much larger scale equipment that actually there's a picture of some of that later on in this presentation. And we'll just remind you of the scale that, that facility operates at, very useful that we have access to that here in the U.K. But essentially, Ilika is an IP generating engine. And that IP, which includes materials, battery architecture know-how and process know-how is licensed to either an OEM or a Tier 1 manufacturing partner, like you see in green and blue circles, respectively, on this diagram. And in return, we receive licensing fees and royalties. And of course, where we're working with a Tier 1 manufacturing partner, they then sell our batteries and perhaps an assembly through to the OEM for final branding and commercialization. So we believe that this is a capital-efficient strategy suited for the type of business that we are and supports rapid industrial adoption of our technology. So let's talk in a bit more detail about Stereax. Stereax, as I explained, is for active implantable medical devices primarily. And there are some of the applications, which are really exciting applications ranging from orthopedics, so smart hip replacements, knee replacements, shoulder replacements where you can use this technology to track the physiotherapy that a patient undertakes and make sure that, that recovery is as efficient as possible. Neurostimulation or neuromodulation, sometimes actually called nerve stim as well, so stimulation of the peripheral nervous system. The most basic application here is where you actually offset some of the pain that you may get, for instance, lower back pain with a stimulation of the nerves that are involved, and this gives the patient some relief from that pain, but also some very broad applications in cognitive disorders and also strokes and even stimulating some organs through the vagus nerve. So really exciting applications there. Then some implanted sensors for people who struggle with chronic conditions that need regular monitoring for the health of the patient. They could be oxygen pressure in blood or some cardiovascular complaints, often high blood pressure is monitored using these sensors. Then we've got some ophthalmic applications. So various conditions of the eye that can be monitored. And then finally, orthodontic, so mouth guards and salivary monitoring applications such as what we highlighted with Lura Health in our release just before Christmas. So some exciting applications. A lot of the customers actually for these applications are based in the U.S. Some of the largest medical device companies in the world are headquartered in the U.S. And so having a relationship that is based over there for manufacturing the product is a really great fit with that geographic location. And this is what the product looks like. This is our M300. You can see it's a tiny little battery, 300 micro amp-hours of capacity. The big attraction of that is how small it is and how easily it can be integrated into some of these tiny little implantables. The fact that it's got a long cycle life and also a high pulse current, so it can be used to drive Bluetooth chips and send data from the device outside of the body and to often, frankly, a mobile phone where it is relaid onto a database or an app to manage the health condition. So the big advantage of these cells really is that you can reduce surgery time. And this is absolutely critical to reduce the cost of these implants because most of that cost is driven by time in the operating theater and the time of the surgical team that is carrying out the operation. So if you've got a small implanted device that can be inserted easily into the body, then you reduce the amount of time that's required in the theater. So this Cirtec Medical partnership is really going from strength to strength. Just before Christmas, of course, we shipped those M300s to customers that had largely been made at the Cirtec facility across in Lowell in Massachusetts. And we're now starting to register those commercial revenues from wafer processing. So that's the positive electrodes that we manufacture here in the U.K. and we send over to the U.S. We've got a strong licensing agreement in place there to the mutual benefit of both Cirtec Medical and ourselves, providing the product at an affordable price to end customers. We believe that this relationship really demonstrates industry validation of the product and the process. It gives us really important access to manufacturing scale. So that's often the question that we got when we were manufacturing at pilot line scale here in the U.K. These big med tech companies would say, great that you've got a pilot line, how do we get to the much larger volumes of production that are required. And of course, we can do that through a company like Cirtec Medical. They've also got a fantastic business development team. And actually, one of my colleagues, Denis Pasero, who you might have seen in some of the videos and publicity that we have created, is across in California at the moment with the Cirtec business development team at the NANS show, the North American Neurostimulation Society, and he is working closely together with them to interact with some of the potential partners and customers who are interested in our neuromodulation capability. There's also a really strong technology focus at Cirtec that matches our own road map. So the two are very closely aligned. And this, of course, is really enabling that fast adoption of the Stereax product. So how does that all translate into revenue that we as a company and you as shareholders can benefit from? I'm going to let Jason say a few words about this chart.
Jason Robert Stewart: Thank you, Graeme, and thank you to everyone who's attending today. This is designed just to give a better understanding of how the different layers of revenue will come for the Stereax side of the business. So this is purely as an indication rather than any specific numbers. But to help give some explanation for the different layers that we have. So as you can see from the slide, we've got four different layers of income that will feed through on the Stereax side of the business. The first of those, Graeme has already touched on that, relates to that cathode deposition process. So covered within our contract, we will be providing that on a regular basis, and the contract does stipulate the lead time for delivery. And that will progress from now onwards. So that gives us a good drumbeat of low tens of thousands of income that will be coming through for each of those batches that we deliver across to feed into that production process as we go forward. And that's a really, really important point for the business as it gives a good baseline of income to start with even before we start to get products into people's hands, and we start to see the really fantastic growth from product royalty revenue, which obviously follows on after that. Underneath that in the green section, we do have expectations around nonrecurring engineering, so NRE. This is a big element within the med tech sector. And actually, Cirtec drive a large piece of their own revenue from this and have guidance around what we should be expecting as we work with end customers either to validate our Stereax batteries in their particular application, and they would pay for that validation and support through their certification process or if they have a specific need for a size or shape of a variation of our Stereax MVP to suit their particular application. Obviously, some of these in-body applications have very precise needs in terms of where they can be located and therefore, the shape of the device, and that plays back into the strengths of Stereax and how we can adapt to that. Underneath that, obviously, we're expecting royalty to come through as specified within our contract with Cirtec. In the short term, up to a volume breakpoint, that's actually a profit share. So we will get the larger proportion of any profit that's coming through from those batteries from an agreed price and -- sales price and cost price that we have within the contract. Unfortunately, that's covered under NDA. So we're not in a position where we can share the precise details of that, but that certainly protects us at those low-volume initial orders as they come through to make sure that we are getting a good return back. And then beyond that, at the very bottom, we actually have some carve-outs within the contract to make sure that we can offer the Stereax product to other markets or to very high-volume applications. That means that we won't lose out on any opportunities if they come along. And for any reason at all, Cirtec are not able to scale as quickly as that product demands, we do have the ability to issue additional licenses, and we would expect those to come with upfront license fees that would feed through. So giving lots of different opportunities, but really, that revenue starts from now with those first purchase orders as we announced yesterday for the cathode deposition process.
Graeme Purdy: Great. Well, that covers the update for Stereax. So let's talk a little bit about Goliath now. Contrary to a lot of the media headlines which you may be misled by, actually, the sales of EVs have continued to grow in 2025 as the sales of traditional vehicles, ICE vehicles, so internal combustion engine vehicles continue to decline globally. Here in the U.K., and I know a lot of our shareholders are based here in the U.K. last year, 23% of new car registrations were for EVs. In December, that had actually peaked at 32%. And the majority of new vehicle registrations, if you combine hybrid electric vehicles, so mild hybrids and plug-in hybrids and full EVs, actually, the majority of vehicle sales were made up by those different categories. So continuing to grow. And also on this slide, you see the forecast from the Office of Budget Responsibility, OBR, here in the U.K., expecting despite some of the maybe slightly confusing legislation that was brought through in the budget, still an expectation of the rise of electric vehicle penetration as we go forward in time. And by the time you get to 2035, actually the majority of vehicles on the road, so total car stock then being EVs. However, we should also recognize that there are some headwinds, and they're particularly strong in the U.S. where the current administration isn't offering the same level of incentives for EVs as we've seen with the previous administration. And that's led to some turbulence in the market. But the longer structural growth drivers remain intact. And I think the key thing here to recognize is that Goliath technology offers a differentiated approach for European and North American manufacturers who are looking to differentiate the product that they're making from the dominant Asian offerings that are out there at the moment. So the reality is a lot of the people who are building gigafactories at the moment have taken a license to established Asian technology. And I think that's an entirely rational approach when you first want to set up a gigafactory. You want to make sure that the technology is stable and that you can then use it to good effect, but that's not a sustainable business model because actually, you're reliant on tariffs in order to protect your business from low-cost efficient Asian competition. And if you want to differentiate your offering, you have to look to new technology. And that's really the USP for working with companies like Ilika is that you can come up with an offering that gives you a sustainable competitive advantage. Now in addition to that, I also wanted to mention European demand in aerospace and defense. You're seeing substantial growth in this sector for related battery technologies. And that's really driven by increased defense spending where budgets have been ramped up, the remorseless electrification of defense platforms. Just in the same way that we as consumers are seeing the electrification of a lot of our domestic appliances, you're also seeing that in the defense industry. There is a need for portable power, i.e., being able to use these devices in the field. And of course, there's a strong argument for having some strategic autonomy where perhaps some of the alliances that there might have been historically are not looking as strong and dependable as they might have been. So some interesting non-EV applications for the technology. Just to reiterate why anybody should be interested in using Goliath in an EV. We've done some great modeling work together with a company called Balance Batteries here in the U.K. They are pack designers. And they looked at putting in Goliath batteries into a state-of-the-art EV and seeing what the effect would be from an economic perspective and also a performance perspective, and they calculated a reduction in the cost of the battery pack of GBP 2,500 relative to the battery technology that's used currently. So those of you watching in color, about $3,000, a weight saving of up to 20%, and that correlates to a range extension of that order of magnitude because, of course, the light of the vehicle, the further it will go for a given amount of energy and 1/3 of the charge time. So a drop from 18 minutes to 12 minutes on a 10% to 80% state of charge. So a saving of 6 minutes there, which makes a big difference. And there's a reiteration on this slide of that validation that we got of our 2-amp-hour prototypes that we'd sent out last year for validation. They performed to specification, putting them in that leading cohort of solid-state batteries. So that supports the further engagement that we've had with that particular Tier 1 and others with our latest release of 10-amp-hour prototypes. So I promised you a picture of what some of the equipment looks like at UKBIC. There's actually a photograph of an operator maintaining an impeller on one of the mixing vessels. So you see the massive scale at which this equipment operates. Really important that we can demonstrate that our technology is compatible with that scale of equipment, and that gives our customers a lot of comfort that the process technology that we've developed is easily deployable in an existing gigafactory. So as part of the work that we did with UKBIC, we successfully coated an electrode electrolyte composite. So the way that our solid-state batteries work is that we have a coating of our electrolyte on the anode. We got a higher manufacturing yield than we saw on our own pilot line. Sometimes the reverse is true in other technologies, but not here. We've seen actually that as you go to a larger scale on this quite sophisticated equipment, you actually get an improvement in yield. And also, when we tested the batteries, we actually found that, that increase in quality gave them a higher capacity and the faster charging protocols. So very broadly positive outcomes from that scale-up work. And the fact that standardized gigafactory equipment can be used, it means that there's no real demand for replacing the existing manufacturing equipment that's used there. You've got a reduced risk when you deploy our technology. And you've got that yield increase and cost reduction and yield is so important in this sector to make sure that you've got a sustainable economic model. So in terms of what you could expect going forward, I mean, there's been a whole raft of milestones that we have achieved in 2025 that gave us consistent and regular news flow that we could use to keep our shareholders apprised of progress. But it's given us a strong platform for more news to come in the second half of the financial year through this year and onwards. We're waiting for that customer feedback on the 10-amp-hour cells for the applications that we have distributed these batteries for, so EV and non-EV. So samples went out to a broad range of different companies. We expect actually to get some further grant support for testing and validation of our technology. So that goes a long way to offset some of the ongoing R&D costs that we've got. And then once we've got that validation of our products, we're in a position to progress the discussions with our target customers about what their minimum viable product might be for a generic A sample in the case of the automotive industry, that's what they're called, to define that, get them shipped and evaluated and then in due course, to allow us to enter into exactly the same sort of manufacturing relationship that we've got for Stereax. And this is what the scale-up story looks like. Just to reiterate that we do not anticipate manufacturing Goliath cells at a larger scale than pilot line scale. We believe that, that larger scale manufacturing is better done together with a manufacturing partner because, of course, if you're a big automotive OEM, you really want to make sure that you've got a low-risk supply chain. So it's far better that we partner with a manufacturing-focused organization that's got an established relationship with an OEM so that we can leverage their expertise and give them comfort that the technology is being delivered, the product is being delivered in a reliable manner. But of course, that opens the licensing opportunity window for us. Now that we've started shipping these 10-amp-hour cells, we're in that green zone that's pictured at the top there as we go through the next stages of scale-up and development together with one or more partners and then transfer the technology into a gigafactory environment. So Jason, perhaps talk through how we've built up that revenue projection with an increased number of customers relative to the last time that we spoke. You can see that we've now got 27 NDAs evaluation agreements in place. Jason, over to you.
Jason Robert Stewart: Thank you, Graeme. A very similar story to the Stereax side of the business and the revenue buildup that we looked at slightly earlier. So made up of four different elements. Here, once again, we -- the first element has already commenced, and that's grant funding, so that's that top section. And grant funding has been a really important element for us, not just because it is non-dilutive share funding. So for every pound that we can deploy, half of that cost on average is covered by grant where we've been able to secure grant funding to be able to support that particular work package. And we'll touch on the financial results in a moment, but we have continued to secure new grant funding projects as we have gone through the first half of this year, and we'll continue to do so. So we see that as a continuing point. The other element around those grant-funded projects is they are also an incredibly good way to engage with the automotives and Tier 1s because they are also looking to collaborate through those grant-funded projects as a way to evaluate new technologies. So as we move through the cell design, that MVP section and start to look at the benefits and delivering those in the pack and module, as Graham touched on earlier, where some of those benefits for ourselves really come out, we've got good interest from automotives and Tier 1s in doing grant-funded projects around that type of activity. So it's a really important way for us to engage with those key potential customers as we go forward. Underneath that, there's a very small element of nonrecurring engineering for the Goliath product. The reason for that is that while we've designed a format of pouch cell, we designed that really around a commonality with the UKBIC so that we could scale up using the equipment that the government has got in place and Graeme talked about earlier to prove that our cells work at giga scale. However, each individual auto company or Tier 1 manufacturer may have slight variations to fit their pack and module designs. So we expect that if we are to change our design slightly to fit their particular needs as we enter into that licensing point that we would be able to receive some funding from them to be able to do that piece of work. Obviously, we then have battery works revenue. Now that does take a little bit of time to start building through in volume with the automotive side of the business, very much because of the time to build through that demonstration of A, B and C samples that Graeme showed on the previous slide as the automotive or Tier 1 deploys that in their own gigafactory and gets that into their vehicle platform and on to the fore. But really, as you can see, towards the end of the period, as volume picks off, that's where really large volumes of income start to come through. And underneath that, the last point then, but potentially the largest income generator in the short to medium term is licensing income. So as Graeme talked about, we're in that green window for licensing discussions. We would expect those licenses when we secure them to have a number of stage payments against performance. And the expectation there is that will be tied to those A, B and C sample points that we showed on the previous slide. So really, that's around looking for an option to evaluate at that A sample point. So when we lock down our MVP, which we're looking to do in the near future and look for those partners, then as we transfer that same sized product into the automotive's own pilot line, that would be classed as that B sample and they produce it under that license, that would trigger another stage payment. And then finally, as it goes to what's called a C sample, and that's the point when it's made at gigafactory scale that would deliver a final stage payment on those license. I would expect a couple of licenses in the automotive sector, but also opportunity for licenses outside of that, along with those other applications that you can see in the top right-hand corner, so potentially supporting defense or consumer electronics. So that gives a real buildup of how we expect Goliath to develop some revenue as we go forward. In terms of the half year results that were in the announcement, our turnover is GBP 0.6 million. Now that is down from the previous year. And really, that's to do with the timing of the grant funding. So for those that have followed the business, during this point last year, we had two grant-funded projects, that was HISTORY and SiSTEM, which were coming to the end, and they had finished by January 2025. So you saw more of the revenue in the first half of the prior year. And this year, you're seeing the commencement of our PRIMED project, which we secured. So there's more to come from that revenue as we go through into the second half. So you'll see that equalizing and then moving ahead as we move into the second half. So those secondary bullet points there just confirm that, that really is the grant funding movement that you've seen coming through. The EBITDA loss has increased year-on-year at the half year point, and that really is a reflection of two elements: one, that reduction in turnover, but also on the Goliath side of the business, as we've ramped up from those P1 2-amp-hour products into the P1.5 10-amp-hour items, 5x energy. There's 5x as much active material going into those. We're consuming much more from a materials point of view as we produce those prototypes, and we expect to do that as we go through. We have to make these larger sales for the potential licensees to evaluate. So that's part of the journey that we're going on, which then leaves us with a cash balance at the half year-end of GBP 6.9 million versus GBP 10.1 million. But I would point out, as you can see in the accounts that were published, we have a significant R&D tax credit that is paid out through the latter half of the calendar year. And that was received shortly after the close of the half year results. So that helps to bolster the cash position up further and give us a longer runway.
Graeme Purdy: Thank you, Jason. So just to wrap up the formal part of the presentation, I think five great reasons to think about continuing to invest in Ilika. First of all, we have a really strong patent portfolio, a lot of know-how in the business about solid-state battery technology, which is a really exciting deep tech sector to get involved in. We're diversified across multiple markets, so two main market sectors with a near-term route to commercialization. We've got a set of fabrication facilities, so pilot lines that are able to support technology licensing and partnerships and validate scale-up plans. We've already got a licensing and royalty agreement in place with Cirtec to deliver economy of scale and our ability to ramp production to feed product to customers of Stereax. And finally, we've successfully shipped Goliath prototype batteries to OEMs and Tier 1s who are interested in the product as an early indication of adoption of that technology and commercial rollout. So many thanks, and we will shortly move over to Q&A.
Operator: [Operator Instructions] I'd like to remind you that a recording of this presentation along with a copy of the slides and the published Q&A can be accessed by our investor dashboard. As you can see, we have received a number of questions throughout today's presentation. Can I please ask you to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
Graeme Purdy: Thank you. So first of all, many thanks for such an array of questions. We've got a really interesting set that we are going to do our best to answer as completely as we can. So the first one is, who do you see as your biggest competitors? And what is the risk of superior innovations taking market share? Great question to kick off. So there are two types of competitors, really. The first one is incumbent battery manufacturing companies who are innovating their existing traditional lithium-ion technology and trying to improve that, either with a solid-state alternative or perhaps just a better liquid electrolyte-based lithium-ion cell. And then on the other hand, there are technology developers who are similar companies to us who are looking to either enter the market with a new manufactured product or to license the technology in the same way that we do. So biggest companies, well, look, the incumbents in this sector for manufacturing batteries are Chinese and Korean and Japanese companies like BYD, CATL, SK On in Korea, Samsung SDI, LG Chem and Panasonic. And so you see these guys being very active in the sector. And then technology innovators, technology developers, you've got some highly valued U.S. competitors such as QuantumScape and Solid Power and also some privately held companies. And what I would say is that a lot of these offerings are differentiated from each other. So the solid-state umbrella term is very broad. And just as you get quite a bit of diversity in standard lithium-ion cells, you've got different types of solid-state batteries. And the choices that you make around the materials combination for these different types of batteries have a direct impact on the performance of the cells and therefore, the benefits that they give the end user. And there's actually quite a bit of diversity in normal lithium-ion battery technology, the batteries that go into consumer electronics and consumer appliances are often very different to the batteries that might go into stationary storage or EVs. And even within the EV sector, there are different types of chemistry that are being used there. So what I would say is that although there are different offerings, there will be applications for the different types of solid-state battery that are developed. And so because it's a rapidly growing market, I expect that most of the technologies that have got merits and unique properties that differentiate themselves will be adopted for different applications. So I'm not worried too much about market share. I don't think there's going to be one battery to rule them all. I think there are going to be different segments where these batteries can be deployed.
Jason Robert Stewart: Okay. We've got a question here. When will the company start making money? Well, as I've already talked to, certainly revenues from commercialization on the Stereax side of the business will flow almost immediately as we start that cathode deposition process. And that really is, I can't stress enough, an important inflection point for Stereax side of the business as that really rings the bell to say we're making product and that's feeding through into the various different processes that Cirtec now completes through on the back of that before product then comes out through that. Now as with all of the batteries that we are developing and producing, part of the success of those is underpinned by having a data set that really displays that those batteries can be proven to do exactly what we say on the tin. So it will take some time for us to have all of the data required to support that as we go through. But we do expect certainly on the Stereax side once again, that we'll start to see low volumes of product sales, so actual battery sales starting to come through before the end of the 2026 calendar year. So really then we've completed that commercialization of the product, and then it is about supporting Cirtec and the ultimate end customers as they get those batteries into their devices and ramp up their own development processes and whatever verification and validation process they need to go through, depending on the class of device that those go into. On the Goliath side of the business, obviously, we've talked about revenue coming from grant funding, but that isn't really commercialization of those batteries on the Goliath side. And that really comes down to as we move through this year, we will settle on that MVP that we talked about and look for how we can get those into production with partners. Now as Graeme has talked about, although the automotive sector has some headwinds against it, those other markets that are opening up may give us a much shorter window in terms of being able to get some commercialization happening with those 10-amp-hour cells, which are the perfect size for some of those ancillary applications that Graeme talked about. So really, this year gives us a great opportunity to start seeing money coming through on both sides of the business.
Graeme Purdy: So the next question is with the development of M1000 cells, so this is a larger capacity design of Stereax cells that we've talked about previously, will Cirtec be able to produce these on current equipment alongside M300? Or will new equipment have to be installed? So this is a great question. The prototyping work that we've done so far has indicated that it is possible to make M1000 cells using the same process that we currently deploy for M300. So effectively, these are larger capacity, more energy dense cells. So they have more appeal for certain power-hungry applications. However, we are still reviewing whether there are process changes that would give a more price competitive product based either on operational yields because we can get a higher yield using a different process approach or whether the actual process itself is intrinsically cheaper than the process steps that we've defined for M300. So we haven't yet finalized the process flow sheet for M1000s, and that's an ongoing piece of work. But our game plan is to commercialize and roll out M300s first and make sure that we capture all of the learnings from that product launch before we invest further in any changes to the process for M1000s.
Jason Robert Stewart: Okay. We've got a question here. Are Ilika in discussions with any companies about using Stereax for AI glasses? Well, as I'm sure you can imagine, any sort of deep technology development for a consumer product is covered under nondisclosure agreements. So we can't specifically talk about anyone that we are talking to. But we can say that we have lots of interest about a range of applications and not all of those are just in the med tech space. Some of those are in the small consumer electronics space. So there is definitely interest in the size, shape and power of the Stereax batteries for being able to supply those small devices that you can imagine might suit that application. So it's a difficult one for us to give any information on as it's tightly covered. But it's safe to say we are exploring as many opportunities as we can with companies, and we have some strong relationships in those sectors.
Graeme Purdy: Then the next question is, are Ilika in discussions with any companies about using SSPs in mobile phones or as portable battery packs? So just for clarity, the technology platform that's relevant for these applications is Goliath. Of course, we have focused the Goliath development on the EV objective, which is what we receive grant funding to deliver. However, we have talked about some ancillary markets that we can address. And mobile phones is an example of consumer electronics, which would benefit from having solid-state batteries. And perhaps more pertinent to defense applications, portable battery packs are definitely an application area, too. So it's absolutely key to make sure that the USPs, the unique selling points for our solid-state batteries are relevant to these applications, and we believe that they are in some respects. And therefore, we are validating the commercial opportunities for these deployments as part of the overall commercialization strategy that we're rolling out.
Jason Robert Stewart: Okay. For the next -- I'm actually going to take the next two questions as they're almost identical, one for Stereax and one for Goliath. So I shall attempt to cover them both off with one answer. So the first of those two questions is, what has been the initial feedback from Cirtec customers using Stereax? And the second question is, what has been the early feedback from customers about the 10-amp-hour Goliath batteries? So both of these relating to the deliveries that we announced just before Christmas at the end of December. And the answer for both is very much the same in that batteries need to be assessed over a period of time by the people that are evaluating them. So there's no immediate answer other than the thanks for fulfilling the backlog to get those cells, Stereax or Goliath, into their hands. But we are in close communication with the companies that we've delivered those to, and we will gather that feedback as they have worked to integrate them into their own testing systems and then as they cycle and run them through. And once we get that information and get that feedback, then we will look for the appropriate way in which we can feed that back to the shareholder base and to the wider market so that people can understand what that feedback is because it's always great to get external feedback and validation for our products rather than just our own information, which we can share.
Graeme Purdy: The next question is, how confident are Ilika of agreeing licensing deals for Goliath during 2026? Well, look, the licensing window for the technology is now open. I think really the delivery of our 10-amp-hour prototypes fired the starting pistol on that particular race. We haven't just limited ourselves to saying that, that licensing deal is going to be concluded in this year. As you can see actually from the slide where we cover that, we would expect discussions to go on for the next 30 months or so. And obviously, we would push for an early licensing deal where possible. But for a deal of this magnitude, there's due diligence that's required. And so we expect that we will continue working on this opportunity throughout this calendar year.
Jason Robert Stewart: Okay. The next question is, can you confirm the external pressure needed for your sales? For those that maybe don't understand that question, there are some circumstances where external pressure can be applied to cells, either cylindrical cells, pouch or prismatic cells to aid in the performance of those, and that varies based on the format of the cells and the chemistry within them. Unfortunately, we're not in a position where we can share that information. We're in discussions with the order customers around what they're looking for. And actually, some of those have differing needs around pressure for their different applications and how they put together their pack and module and part of our own development plans are pulling together lots of information to support those various different applications to help guide our customers and to gain better feedback on what works best, not only for our own chemistry set as we develop that, but also for the customers and how they wish to integrate that within their packs and modules.
Graeme Purdy: Mindfully done, Jason, I'd maybe just add to that response that the application of external pressure can improve the cycle life of both lithium metal and silicon anode-based designs, they're aware of that. But of course, the downside of applying too much pressure is that it becomes a difficult engineering challenge. You don't really want to have a battery pack in your vehicle that needs a substantial amount of external pressure applied. So we are optimizing our cell architecture to try and keep that pressure to a level which is economically viable within the context of mass production vehicles. The next question is an interesting one. What do you make of recent claims by Donut Lab? Well, this is a question that we've had quite a lot actually since CES. Congratulations to Donut Lab for managing to monopolize the conversation in the battery sector over the space of a few days. Look, I mean, there were some fantastic claims. It felt a bit like the clock had been rewound to 2019 when a lot of companies were claiming spectacular performance for their technologies. I think if you read a lot of the industry analysis and informed commentary on the technology, that it is unlikely that all of the claims will be substantiated and it appears to be more a technology which is derived from capacitor technology rather than straightforward what we'd consider to be battery technology. So capacitor technology is capable of delivering large pulses of energy of electricity. But typically, capacitors are not capable of storing energy over long periods of time. So there may be downsides, which become apparent in due course once you get external validation by independent authorities or potential customers of this technology. And I would say that to all appearances, it appears that there is quite a long time line between now and such technology being commercially ready. So probably not one to worry about too much in the short term.
Jason Robert Stewart: Mindful of time left in the broadcast. If I handle the next one, which I think might give us a sort of a suitable landing point, there's a question here, what's your commercial plan for '26 for Stereax and Goliath. And I've also seen another question later related to what milestones should we be looking out for if you're monitoring the company and what we're doing in 2026. And if I just take you back almost to the beginning of the presentation to when Graeme started, if I can get us back to the beginning. And really, it's the section here in the dotted line. Those are the milestones. Those are the things that you should be focusing and looking for us to deliver against to show that we are delivering continued steps against our plans for rollouts, both at the top there for Stereax in terms of getting integration into the Cirtec development board. And that really unlocks our ability to work with Cirtec for some of their bigger customers that perhaps we haven't been able to interact with before because that gets the Stereax battery integrated into an electronic evaluation board that eases its adoption and evaluation by potential customers through to then revenue starting out from deliveries by customers. And then on the Goliath side, those other steps that Graeme once again talked through in terms of feedback from those 10-amp-hour cells that we talked about that we delivered and will continue to be delivered, landing on the feedback from that and how that feeds into the MVP as we go through the second half of the year. Graeme, I don't know if there's anything you wanted to add.
Graeme Purdy: Thank you very much, Jason. No, I think we've had our allotted hour. I see that there's still some more questions that we haven't yet had time to address. What I will do, though, is go through all of those questions with Jason and if there are any that cover aspects that we haven't covered verbally, then we will draft an answer, and they will be published along with the rest of our answers in due course. So many thanks for your time today, guys.
Operator: That's great. Thanks for updating investors today. Can I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of Ilika plc, we'd like to thank you for attending today's presentation, and good afternoon to you all.